Operator: Ladies and gentlemen thank you for standing by and welcome to the Korn/Ferry First Quarter Fiscal Year 2018 Conference Call. At this time, all participants are in a listen-only mode. Following the prepared remarks, we will conduct a question-and-answer session. As a reminder, this conference call is being recorded for replay purposes. We have also made available in the Investor Relations section of our website at kornferry.com a copy of the financial presentation that we will be reviewing with you today. Before I turn the call over to your host Mr. Gary Burnison, let me first read a cautionary statement to investors. Certain statements made in the call today such as those relating to future performance, plans and goals constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties which are beyond the company’s control. Additional information concerning such risks and uncertainties can be found in the release relating to this presentation and in the periodic reports filed by the company with the SEC, including the company’s annual report for fiscal 2017. Also some of the comments today may reference non-GAAP financial measures such as adjusted fee revenue, constant currency amounts, EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most directly comparable GAAP financial measure is contained in the financial presentation and earnings release relating to this call. Both of which are posted in the Investor Relations section of the company’s website at www.kornferry.com. With that, I will turn the call over to Mr. Burnison. Please go ahead, Mr. Burnison.
Gary Burnison: Okay, good afternoon and thank you for joining us. I have got Bob Rozek and Gregg Kvochak here. I am going to make a couple of brief overall comments and turn it over to Bob. I think number one here this is our first quarter of the fiscal year and I am incredibly proud of the company that we are building. I really believe that we are laying the foundation for a multibillion dollar firm. Korn/Ferry, a firm, that stands at the intersection of talent and strategy from organizational advisory, strategy execution, leadership development to compensation and reward offerings. This is a firm that helps clients drive performance through people. And I think when you actually look at the results that we just released, it’s pretty clear that our actions speak louder than the words and that the progress is indeed very tangible. The top line was up 7% year-over-year at constant currency, that’s up about $25 million over the prior year. New business and search is up little over 10% or so over the last few months. Hay Group new business is up 5%, 6% last several months compared to the prior year. I would say that our profits were good. They weren’t great primarily because of the investments that we have talked about that we have made in the business yet I am still very proud of the EPS – adjusted EPS of $0.55 and the adjusted EBITDA of $59 million for the quarter. During the quarter, all business lines grew. The executive search was really solid generating double-digit growth at constant currency in North America, Europe and Asia. Since we last spoke we have made a number of leadership changes. Mark Arian has come in to lead our advisory business. Mike Distefano, we moved him over to Asia to reshape our Asian strategy. And Byrne Mulrooney is settling into his new role leading our products business which for today is about $230 million, $240 million annual business for us and we think has tremendous upside. We brought in a new Board member that I am very excited about Angel Martinez joined us here in the past quarter. We also bought back to-date now through yesterday 2 million shares in the open market. We are continuing with again exactly what we said a consistent capital allocation plan. And finally, one thing that I am really proud of is we are right number one in UK in Board and CEO search. Hay Group, our advisory business was up 2% at constant currency year-over-year. And for us, I mean the real key and the growth in that business going forward as well as the enterprise, I think comes down to really the following factors. I mean number one, we have got to drive an integrated approach and that’s an enterprise wide approach which includes pipeline management. Two, we have got to move more of the business towards bigger ticket, more impactful assignments. We have got to continue to bring talent into the firm, develop the talent that we have. And finally, migrate the firm towards industries and solutions. When you look at the Hay Group business, this last quarter and you kind of look at it by solution area, about 30% of it is around assessment and succession leadership development, 22% rewards, consulting and products about 21%. Those are the big pieces. And when we think about the future and the investments that we are making, we are making those investments really around those areas. So where we have got a distinct advantage, where the market is big, where it’s growing, so leadership development rewards and benefits and our products business. So that’s really the quarter I am very, very proud of this company that we have here, proud of the results for the quarter and I think off to a very, very good start for this fiscal 2018. So with that I will turn it over to Mr. Rozek.
Bob Rozek: Great. Thanks Gary and good afternoon everyone. I am going to start like I always do with the few key highlights. First globally, our fee revenue in the first quarter was approximately $401 million, improvement of nearly 7% measured at constant currency. All three of our major business segments had revenue growth in the first quarter and our growth was strongest for the talent acquisition businesses with executive search and future step growing at year-over-year constant currency by about 11% and 12% respectively. And then as Gary mentioned for executive search our fee revenue growth in the first quarter was broad based with double digit growth in North America, Europe and Asia-Pacific. Second, despite the recent investment spending focused primarily on consultant hiring, our profitability remained good in the first quarter. Adjusted EBITDA was $59.4 million. It’s an improvement of $3 million and nearly 5% compared to the first quarter of fiscal ‘17. Third, operationally we continued the reshaping of our workforce with the hiring and on-boarding of many season consultants that bring us talent and skills that will complement and enhance the productivity of our existing consultant base. Compared to the fourth quarter of fiscal ‘17, we have added 15 net new fee earners in executive search and 26 at the Hay Group. After a period of ramp-up, we expect many of these new fee earners to be fully productive within 1 year and really start making positive contributions to grow later in the second half of fiscal ‘18. And then last, as we discussed on our last earnings call, we have continued to deploy a balanced approach to allocating our capital. This includes the payment of our quarterly dividend of $6 million as well as the ongoing repurchase of our shares. As of yesterday over the last four quarters, we have now spent about $57 million and have repurchased about 2 million shares, which approximates 3.5% of our outstanding fully diluted share base. Our current average repurchase price is about $28.50, which is about a 14% discount to our current market price. We currently have approximately $93 million remaining at a corporate share repurchase authorization. Now, turning to new business trends, first for executive search on a global basis the seasonally strong momentum of new business that we saw in the fourth quarter of fiscal ‘17 continued into the first quarter of fiscal ‘18. In the first quarter consolidated executive search new business was approximately $169 million, up over 15% year-over-year. North America, Europe and the Asia-Pacific regions all achieved double-digit new order growth in the first quarter. And similar to executive search, new business growth in the first quarter for Hay Group also improved and was up as Gary mentioned between 5% to 6% measured year-over-year. Finally, in the first quarter, Futurestep achieved another record new business quarter with total awards of approximately $110 million. Now, included in its $110 million is approximately $82 million of RPO solution work, which consist of a mix of large current customer renewals and expansions, which totaled about $42 million as well as new logo wins of approximately $40 million. At the end of the first quarter, our total cash and marketable securities were $408 million, up approximately $27 million compared to the first quarter of fiscal ‘17. Excluding amounts reserved for deferred comp of accrued bonuses, our investable cash balance at the end of the first quarter was approximately $235 million and that’s up about $40 million year-over-year. At the end of the quarter, we had outstanding debt of about $251 million. And then finally, our adjusted fully diluted earnings per share were $0.55 in the first quarter, that’s up $0.03 or 6% compared to first quarter of FY ‘17. And on a GAAP basis, our fully diluted earnings per share were $0.51. Now with that, I will turn it over to Greg to review the operating segments in a little more detail.
Gregg Kvochak: Okay, thanks Bob. Following a seasonally strong fourth quarter, our executive search segment continued a strong pace of growth in the first quarter of fiscal ‘18 achieving $161.2 million of global fee revenue. Measured year-over-year at actual exchange rates, our executive search segment grew $14.8 million or 10.1% in the first quarter and grew approximately 11% measured at constant currency. Regionally at constant currency, growth in the first quarter was broad-based and driven by double-digit growth in North America, up 12.4%; Europe, up 16.5% and Asia-Pacific up 10.3%. By specialty practice, executive search fee revenue growth was mixed in the first quarter. Compared to the first quarter a year ago, growth in our technology practice up 37% and industrial practice up 35% was offset by slower demand in our consumer goods, financial services and life sciences and healthcare practices, which were down 7%, 4% and 3% respectively. The total number of dedicated executive recruitment consultants worldwide at the end of the first quarter was 532, up 44 year-over-year and up 15 sequentially. Annualized fee revenue production per consultant and the first quarter was $1.23 million and the number of new search assignments opened worldwide in the first quarter was 1,659, which was up approximately 15% year-over-year. Consolidated adjusted EBITDA for executive search in the first quarter was $35.2 million, which was up $3.5 million or 11% compared to the first quarter of fiscal ‘17. This improvement was primarily driven by stronger fee revenue in our largest executive search segments, North America and Europe. The consolidated adjusted EBITDA margin for executive search in the first quarter of fiscal ‘18 was 21.8% compared to 21.6% in the first quarter fiscal ‘17. Now turning to Hay Group, we are improving new business trends are beginning to translate into fee revenue growth. Hay Group achieved fee revenue of $179.4 million in the first quarter, approximately $181.1 million translated at constant currency. Measured year-over-year at constant currency double digit growth in both Europe and Latin America was offset by softer demand in North America and the Asia-Pacific region. As previously mentioned, new business activity for the Hay Group in the first quarter improved 5% measured year-over-year. Despite the sharp increase in consultant hiring over the last two quarters earnings and profitability for the Hay Group have remained solid. In the first quarter adjusted EBITDA for the Hay Group was $30 million with an adjusted EBITDA margin of 16.7%, both essentially flat measured year-over-year. Finally, turning to future step which started the new fiscal year with another quarter of double digit growth, in the first quarter future step generated $60.6 million of fee revenue which measured at constant currency was up 11.6% year-over-year. Balancing investments to support delivery capacity related to many recent new business wins, future step was also able to deliver earnings growth in the first quarter with EBITDA of $9 million, which is a year-over-year improvement of over 11% [ph]. Now, I will turn the call back over to Bob to discuss our outlook for the second quarter fiscal ‘18.
Bob Rozek: Thanks Gregg. As previously discussed, our new business activity in the first quarter improved than all of our operating segments, globally for executive search new business awards in the first quarter were up 50% year-over-year. And we saw this trend of double digit growth continue into the month of August. With monthly new business patterns remain consistent with prior years, we expect executive search new business awards to improve sequentially in September and then peak at a quarter high in October. For the Hay Group, the second quarter is typically a seasonally strong quarter for both new business and revenue. And growth should marginally benefit from the ramp up in productivity of many of our recent consultant hires. With regards to future step, business under contract remains at an all-time high and the pipeline of new business opportunities is expected to remain strong in the quarter. During the last couple of quarters as we previously discussed, we have aggressively hired fee earners and select support staff in all of our operating segments. As is usually the case in the short-term, due the time required to ramp-up many of these new hire consultants will not immediately bill at full capacity which could create a little bit of downward pressure on earnings and margins. Now considering all of these factors and assuming worldwide economic conditions, financial markets and foreign exchange rates remain steady, we expect our consolidated fee revenue in the second quarter to range from $412 million to $428 million with year-over-year growth from all of our lines of business and we expect consolidated adjusted diluted earnings per share to range from $0.58 to $0.66. And finally consistent with our prior quarters, our financial results in the second quarter will include the amortization of integration and acquisition costs of approximately $2.6 million for retention bonuses related to the Hay Group acquisition. Including these costs, we estimate that the fiscal second quarter – fiscal ‘18 second quarter fully diluted earnings per share measured by U.S. GAAP will likely be in the range of $0.54 to $0.62. And with that I will conclude our prepared remarks and we would be glad to answer any questions you may have.
Operator: [Operator Instructions] And our first question comes from the line of Kevin McVeigh with Deutsche Bank. Please go ahead. Your line is open.
Kevin McVeigh: Great. Hey, congratulations on the great results. I wanted to – Bob, Gregg or Gary, any sense – was any of adverse kind of pent up demand given some of the uneasiness in the economy last year or this – I mean, obviously the trends continued in October, was it kind of a new run-rate in the business? And then just along those lines, I was wondering what to quantify the production that you have hired as we think about the out-years?
Gary Burnison: Now, look, if you go back a year ago, we have Brexit, right? So, when you go year-over-year, clearly there was a lot of malaise last summer. And quite frankly, even I was just there, they are actually still is in the UK, companies are still reluctant to invest there. But over the last several, I would not say it’s a burst, I mean, we have definitely seen an uptick in industrial around energy and manufacturing, but I wouldn’t say it makes any kind of outline trend in terms of the talent that we are bringing in, we are up big time in terms of consultant numbers and you know you could easily subscribe $1 million or $2 million per partner. And depending on if we really are successful here which I think we are and will be with our Hay Group business that leverage could be quite meaningful, much higher than that. But I wouldn’t count on that here in the next investment horizon, but we are trying to lay the foundation for a firm 5 years out, that’s multibillion dollars in revenue.
Kevin McVeigh: Got it. And Gary, you do that based on what you have now or would you look to maybe enhance, because obviously a multibillion that you have been doing a great job, but it would be a double plus kind of where you are?
Gary Burnison: Yes, for sure. Clearly, M&A is going to have to be part of that, but we have to be balanced. We have to make sure we are returning the cost of capital plus some to our shareholders and investing for the future and taking care of our colleagues. It’s definitely going to – M&A is going to have to play a part.
Kevin McVeigh: Awesome. Thank you.
Operator: Our next question comes from the line of Tim McHugh with William Blair & Company. Please go ahead.
Tim McHugh: Thanks. I am wondering if you could elaborate on the new business for the leadership business, I know at least it sounded like in the quarter it was the product side of leadership that drove the improvement. Just curious how you are seeing the leading indicators I guess to turn it off for kind of the consulting or advisory side of that business?
Gary Burnison: I mean, it’s still too early. I mean, I do think that the products business is much more scalable just by definition. In that literally, we have the chance to double or even triple that business over some reasonable timeline. So, in terms of the results, yes, products was a little bit better than the advisory or the consulting business, but I think it’s really too sooner to say wow, we are really seeing something where we are breaking out, give us a quarter or give us maybe two quarters and we will be able to really make that read. When you look at our solutions within Hay Group, clearly in the quarter, we had a little bit more in the assessment and succession areas. That’s about 31% of the portfolio. So, that’s up a little bit from say a year ago and the leadership development, which is about 22% of our Hay Group business, was up slightly too.
Tim McHugh: Okay. And just I guess on that assessment side is there something you did differently or what do you ascribe that to that it got a little bit better?
Gary Burnison: I think we really got a pretty cool value proposition starting with the boardroom and around CER succession and how we cascade that down through a company’s strategy. So, we have clearly picked up some very nice marquee wins over the last 6 months. And I think it’s just the testimony to the people in the IP that we have and hopefully we will see more of it.
Tim McHugh: Okay. And then the last question just the accelerated hiring we think about it, obviously it’s starting to show a little bit of signs of life on growth for you. But I guess question I am sure people are going to have is how much further is the hiring intentions going to go I guess, in other words, is there more – do we need to continue to do this?
Gary Burnison: No, I think we are – we have bitten off a lot here. And you always have to have a pipeline as a professional services firm of developing from within and also going to the outside. But I think we have brought in a fair number of people. And I don’t think you would see this kind of pace necessarily over the next three or four months, not because of anything we are seeing in the market, but I think we have invested like we said we would do and now we need to demonstrate to shareholders that we can reap the rewards of that.
Tim McHugh: Okay, fair enough. Thank you.
Operator: Our next question comes from the line of Tobey Sommer with SunTrust. Please go ahead.
Tobey Sommer: Thanks. If I could start on the product business, what’s a reasonable timeline to double or triple that business?
Gary Burnison: Well, man I think honestly, it will really two quarters, really three to six months before giving any – really articulate answer to that. But you can just assume a CAGR that should be above double – it should be kind of low double digit. I mean man 3 years to 5 years why shouldn’t that business double. I think that should absolutely be what we are – what we have our eye on, but we are a ways from that. But it is highly profitable and it is very scalable. And what we said, I think in three months to six months we will be able to give a real read on that.
Tobey Sommer: Okay. I be here and ask a question.
Gary Burnison: And we will be here to answer.
Tobey Sommer: Thank you. On the same topic, without talking about specific margins, could you give us the sense for – on a like a relative basis or a range of how much more profitable the product business is?
Bob Rozek: Yes. That one, we have been looking at the numbers Tobey internally. I would say that the products business is generally 1.5x, 2x more probable than what we see on the advisory side. But as we look at it there is a lot of share costs, a lot of the products are sold through a consulting solution. So it’s again I used this analogy in the past – this kind of sometimes trying to pull apart milkshake it gets a little bit challenging.
Tobey Sommer: From a kind of medium-term perspective maybe long-term one, do you see an opportunity to speaking of the milkshake and taken that same analogy to weave more of the IP into what have been kind of long-standing services in the recruiting side to boost the price and/or kind of differentiation in the eyes of customers of those services?
Gary Burnison: We absolutely do and the starting place there and that is what we are doing with our RPO in the future step business. That’s the place to begin and that’s exactly the plan.
Bob Rozek: Yes. If you think about Tobey you can bake into the recruiting process the assessment protocol that we have, you can bake into recruiting process, job descriptions, information on pay, compensation reward and so on. So I think the IP will naturally feed into the talent acquisition side of the house very nicely.
Tobey Sommer: And my final question here and I will get back in the queue did – it seem like in the quarter and I guess the quarter which maybe there is some competition stuff to think about, but with the strong balance sheet and cash flows the share repurchase was relatively modest or are you husbanding your resources to kind of further the acquisition program?
Gary Burnison: No, we are not – no, absolutely no. We have got a balanced program. We have got 150 million stock repurchase program. We have gone through 50, our plan is to be again systematic about it and carry on, but we were not, we weren’t – there wasn’t some ulterior motive.
Tobey Sommer: Thank you very much.
Operator: Our next question comes from line of Marc Marcon with RW Baird. Please go ahead.
Marc Marcon: Good afternoon. I’d like to add my congratulations. It’s really nice to see. I was wondering if you could talk a little bit about on the new business trends that you are seeing within the Hay and the differences that you are seeing geographically, what’s underlying that do you think?
Gary Burnison: I think that when you look at it, there is a slight increase in products versus consulting, but only slight, I would say that our European business within Hay Group has been very strong and particularly our UK business although not only in the UK, but you look at our business in the UK despite the malaise that companies still have, the UK was one of our best performing businesses kind of enterprise-wide across the three lines of business in the quarter. It was up pretty substantially. So, we have – as I have mentioned we have seen a little bit of an uptick in leadership development, that’s about 22% of the Hay Group business. It’s about 10% of the company. We have almost a 1,000 people doing leadership development. We have seen some nice wins there, one in particular with the government to train civil servant workers of any assessment in succession we have seen a little bit of an uptick there, Marc.
Bob Rozek: The only thing I would add to that, Marc, as well as Asia starting to show some real signs of strength on new business as well.
Marc Marcon: Great. What do you think it would take to get North America going on new business part with Hay?
Gary Burnison: That’s been a disappointment for sure. I think it comes down to the dependence of the strategy. We have to move towards more towards bigger assignments that are more leveragable, which means to do that, we have got to make sure that we are driving a real integrated go-to-market strategy across as one firm. And I think we can do and we must do a better job of that. I think those are really kind of the couple of key things. We have developed talent. We have brought talent in from outside. So, it can’t be an excuse of leverage or talent. The market is there. VIP is there. We have to move the company again more towards solutions and industries for sure. But I think we have got to be much more disciplined as enterprise go-to-market strategy in the United States.
Marc Marcon: When we take a look at the various segments within Hay within North America, what’s doing the best right now, is it rewards?
Gary Burnison: Rewards is actually, it has – we have seen some good progress there about a year ago. We hired a number of consultants into that business. But we have also seen the assessment in succession has actually been good in North America, but I would say that is the out of the Hay Group business that is the one that we will do a better job.
Marc Marcon: And then with regards to Futurestep obviously impressive new business wins, but new logos, are they brand new to RPL or are they takeaways from other competitors?
Bob Rozek: I would say, Marc, I don’t know specifics for this quarter, but generally over time we are probably about 50-50 right now in terms of the makeup. At one point in time, it was more skewed towards where we would take engagements away, but I think now it’s generally more about 50:50.
Marc Marcon: Great. And then with regards to the guidance, the revenue guidance at the midpoint is about $0.02, the EPS is little bit lower. Are there some specific areas where you would expect margins you vary a little bit from the normal seasonal pattern that we typically would see going into this quarter because of investments?
Bob Rozek: We have salary increases rolling through and that’s several million dollars that are going to hit. And so it’s really a combination of that plus the carryover of the investments that we have made in talent. And so those are really the two biggest reasons.
Marc Marcon: But no specific segment that where we should see like maybe because of the investments a higher level of aggregation?
Bob Rozek: It might be a little bit more on the Hay Group side, Marc.
Marc Marcon: Okay.
Bob Rozek: But again as we talked and I think on our last call we said that we thought the downward pressure from the investment spending would be 100 basis points maybe pay raise is 100.5 and I would say the pay raise should be pretty equally across all lines of business and then the investments are more heavily focused in the Hay Group side if you have a little bit of downward pressure there.
Marc Marcon: Alright. And then one last one, Gary, you have got to commend this long-term history in terms of reading how Chief Executives are thinking about the economy last quarter, you basically said if we don’t see much legislative progress, we will probably pre-close and lose a little bit of conference. It doesn’t seem to be materializing new results. What are you reading from just the execs that you are interacting with?
Gary Burnison: There is still that feeling. You are coming off a period where many people took some time off, but I am still a believer in that. That if there is not let real legislative progress other than extending a debt limit by 3 months to give relief down to the people in Texas they needed, but if there is not real legislative progress the sense that I get is that it will be a different conversation.
Marc Marcon: Thank you.
Operator: Our next question comes from the line of Marc Riddick with Sidoti. Please go ahead.
Marc Riddick: Hi, good afternoon.
Gary Burnison: Hey, Marc.
Marc Riddick: So, a lot of my questions have been answered, but I did want to touch a little bit on the new personnel being added and the talent pipe actually more the talent pipeline I guess. I wonder you get a sense of the pace of hires and maybe there is some commentary as far as the ease of hires, if you are getting the sense that there is – is it getting a little easier to find these folks. Is Korn/Ferry being viewed as a more desirable destination and what your thoughts were on that?
Gary Burnison: Well, of course I am going to say yes, but I think it’s true. I think when you look at the people that we are bringing in from bolts bracket consulting firms, it has completely changed. So, yes, the type of conversation, who we are having the conversation with, it’s night and day, no doubt about that. That would not have been possible without the investment we made in Hay Group.
Bob Rozek: The only thing I would add to that is that we do – as we bring these new folks on, we obviously are trying to accelerate their time to productivity. And so we have a fairly extensive onboarding program and I got on and do one of the sessions. And that I talked to the folks that I talk to them about, why did you join Korn/Ferry and without exception, they all say that the platform that you guys are building is unlike anything that exists today. Lot of times, tell me that their clients are asking them to do it at their current – or old employers they weren’t able to service their clients properly. So I think what we have built and what we continue to build really is different and provides us with an advantage in terms of sourcing talent.
Marc Riddick: Okay, that’s great. Thank you. Thank you for that. And I was wondering is there – and this might be a bit early with the more recent group of hires being the case, but is there a sense that there is certain pools of areas where certain talent that comes onboard maybe gets up to speed a little faster than others or maybe that you found over the last few quarters?
Gary Burnison: I would tell you I mean generally the executive search partners, the ramp up time there is quicker. I mean right now as we are bringing folks on board. It’s people who have experience in executive search service startup time is a little bit less when we are bringing on consultants into the Hay Group, they need to expense some energy in terms of understanding the IP and so on so that takes a little bit longer.
Marc Riddick: Okay. And then I guess last question for me, I mean you touched on the CEO confidence question and some of the obvious concerns around government activity, I wanted to get sense of are there any specific concerns that you are hearing from either CEO levels or slightly below that it’s not really to keep you up at night question, but more – sort of more the near-term concerns that that we should be keeping an eye out for that maybe you aren’t really rearing their head given the numbers that you are bringing up right now?
Gary Burnison: No, none that I haven’t touched upon.
Marc Riddick: Okay, great. Thank you very much.
Operator: And we have a follow-up from the line of Tobey Sommer with SunTrust. Please go ahead.
Tobey Sommer: Thanks. I was wondering if you could comment about pricing generally across the segments and seen if you are experiencing any particular movement there?
Bob Rozek: I don’t think we are seeing anything dramatic Tobey. I knew we are looking at price increases along the lines of the Hay Group especially on products side. I think on the advisory side it’s a pretty competitive environment and the market is going be on executive search we haven’t seen any changes along the lines of price increase or decreases there, it’s pretty consistent and future step it’s the same thing, single search business areas remain consistent. And RPO is kind of like the Hay Group, it’s a very competitive environment, so but there no real sea-change in any pricing.
Tobey Sommer: And coincident with the beginnings of improvement you saw at Hay, could you talk about progress in your key account program and if the trends there kind of mirrored the overall progress? Thanks.
Gary Burnison: The – objectively the key account program is about 19% or so percent or maybe off a little bit. Of the portfolio, in the first quarter outpaced the overall portfolio growth by 50%, I would say that it has been incredibly strong in industrial and not so much in consumer. And I think that actually reflects the struggles that many traditional companies are dealing with in terms of trying to fight or embrace the digitization and the commoditization of their other business.
Tobey Sommer: Gary, would you consider early days for the key account program or are you of amid full stride?
Gary Burnison: No it’s early days, it’s absolutely early days for sure it’s probably second inning something like that that’s about as far as we have made it so far.
Tobey Sommer: Coming from a guy in Dodger land, I will take that. Thank you.
Gary Burnison: Yes. Dodgers have been losing lately. Okay. Gregg is there anybody else.
Operator: It appears there are no further questions Mr. Burnison.
Gary Burnison: Okay. Listen, thank you for everybody’s time and thank you for the interest in our firm and company and we will talk to you in two or three months. Thanks. Bye-bye.